Operator: Good morning, and welcome to NETSOL Technologies' Fiscal Second Quarter 2021 Earnings Conference Call. On the call today are Najeeb Ghauri, Chairman and Chief Executive Officer, Naeem Ghauri, President of NetSol Technologies Inc. and Otoz's Chief Executive Officer, Roger Almond, Chief Financial Officer and Patti McGlasson, General Counsel. I would now like to turn this call over to Patti McGlasson, who will provide the necessary cautions regarding the forward-looking statements made by management during this call. Thank you, Ms. McGlasson. Please go ahead.
Patti McGlasson: Good morning, everyone and thank you, for joining us. Following the review of the company's business highlights and financial results, we will open the call for questions. I'll now provide the necessary cautions regarding the forward-looking statements made by management during this call. Please note that all the information discussed on today's call is covered under the Safe Harbor provisions, of the Private Securities Litigation Reform Act. The company's discussion may include forward-looking statements, reflecting management's current forecasts of certain aspects of the company's future and our actual results could differ materially from those stated or implied. These forward-looking statements are qualified by the cautionary statements contained in NETSOL's press releases and SEC filings, including our Annual Report on Form 10-K and quarterly reports on Form 10-Q. I would also like to point out that we will be discussing certain non-GAAP measures. The press release issued earlier today contains a reconciliation of these non-GAAP financial results, to the most comparable GAAP measures. Finally, I would like to remind everyone, that this call will be recorded and made available for replay on our website, at www.netsoltech.com. And via a link available in today's press release. Now, I would like to turn the call over to Najeeb. Najeeb
Najeeb Ghauri: Thank you, Patti. Good morning, everyone. Today I'm calling from my Lahore office, NETSOL office, in Lahore Pakistan. I hope you are listening or staying safe and in good health, as we continue to this ongoing global health crisis. Our team and NETSOL has been closely watching, the latest developments with COVID-19 vaccine rollouts, as well as adhering to the updated best practices from our legislators and healthcare regulatory bodies. We are optimistic, that things are slowly but surely, returning to normal. Similarly, the fiscal second quarter of 2021, yielded, incrementally, improved results for our global business. We witnessed the early stages of return to work from many businesses and even at some of our international campuses, as infection rates and hospitalizations stabilized and vaccine access continues to expand. On the whole, we have continued to lean into our technology strengths and are still operating remotely, for the most part without missing a step. During the period, we expanded our subscription-based footprint through a multimillion-dollar upgrade, as well as several large-scale implementations, driving our recurring revenue, base close to $6 million for the quarter and close to $11 million year-to-date. We are continuing to focus on growing these recurring revenues, as the leading indicator of the health and driver of long-term stability for NETSOL. At the same time, we also recorded, nearly $1.5 million in change requests from current customers in fiscal Q2. And while these revenue streams are less predictable, in our subscription business we view this performance as another encouraging data point, for the improving health of the industries we serve and economy as a whole. With the recent appointment of Naeem Ghauri as President of NTI, the parent company, we believe that we can further accelerate progress within some of the core initiatives that I've just described. Along with Naeem, we are working to increase our focus on higher ROI, SaaS opportunities that we believe will strengthen our recurring revenue profile and significantly increase our margins. As we gradually refocus our attention to these newer opportunities, we are still actively committed to meeting the rising needs of our customers. Our objectives for the remainder of the fiscal year are to maintain the conservative cost-cutting structures that have helped us maintain stability during the past year, while making strategic investments in high value areas such as our OTOZ Innovation Lab. As many of you know from our December press release, Naeem Ghauri was recently appointed as President of NTI, which is a newly created position within NETSOL. In this role, Naeem will now oversee company operations both domestically and internationally with reporting duties directly to myself. The President will also be responsible for P&L for all subsidiaries as well as overseeing the several key areas of our business. For this reason, Naeem has joined our call today from Bangkok and will be taking a more active role in communicating our strategy to investors. Before Naeem comes on, I'll first hand the call over to our CFO, Roger Almond who will walk us through the financial results for the quarter. Roger?
Roger Almond: Thank you, Najeeb. Turning to our fiscal second quarter 2021 financial results for the period ended December 31, our total net revenues for the second quarter were $13.1 million, compared to $15.7 million in the prior year period. The decrease in total net revenues was primarily due to a decrease in total services revenue of $5.6 million, which was offset by an increase in total license fees of $2.4 million and an increase in total subscription and support revenues of $620,000. Total license fees in Q2 were $2.6 million, compared to $177,000 in the prior year period. The increase in license fees was primarily related to a new agreement with an existing Tier 1 finance company in China to upgrade to our NFS Ascent retail and wholesale platforms. As a reminder, subscription and support revenues are now included as a separate revenue line item in place of what was formerly referred to as maintenance revenues. In addition to traditional maintenance revenues from post-contract customer support, this metric also includes subscription revenues from our software-as-a-service or SaaS offerings including the cloud-based version of our flagship NFS Ascent platform. Subscription and support fees are recurring in nature and we anticipate these fees to gradually increase as we implement both our NFS legacy products and NFS Ascent. As we continue to grow recurring revenue over time, we believe this new category will become a more impactful portion of our business, as well as a better way to judge our overall performance results for the period that have just adjusted to make performance comparable on a year-over-year basis. Total subscription and support fees in Q2 were $5.7 million, compared to $5.1 million in the prior year period. The increase in subscription and support revenues was due to the start of new agreements from customers who went live with our product this quarter, as well as ongoing recurring revenue derived from prior sales of our subscription-based offerings. Total services revenue for the quarter were $4.8 million compared to $10.4 million in the prior year period. The decrease in total services revenue for the year was primarily due to implementation revenue associated with customers who have gone live with our products.  Services revenue is derived from services provided to both current customers as well as services provided to new customers as part of the implementation process. Total cost of revenues was $7.1 million for the second quarter a decrease of $809,000 from $7.9 million in the second quarter of 2020. The decrease in cost of revenues for the quarter was predominantly driven by decrease in travel expenses.  Gross profit for the second quarter of fiscal 2021 was $6 million or 46% of net revenues compared to $7.8 million or 49.7% of net revenues in the second quarter of fiscal 2020. The decrease in gross profit and gross profit as a percentage of revenue was primarily due to a decrease in net revenues offset by a decrease in cost of sales. The decrease in cost of sales was primarily due to a decrease in travel expense of $1.4 million, which was offset by an increase in salaries and consultant fees of $669,000.  Operating expenses for the second quarter decreased 16.1% to $6 million or 45.4% of net revenues from $7.1 million or 45.2% of net revenues in the same period last year. The decrease in operating expenses was primarily due to decreases in selling and marketing expenses, professional services, research and development and general and administrative expenses.  Turning to our profitability metrics. Income from operations was $87,000 for the second quarter compared to income from operations of $705,000 in Q2 last year. Our GAAP net loss attributable to NETSOL for the second quarter of fiscal 2021 totaled $242,000 or $0.02 per diluted share. This compares with GAAP net income of $586,000 or $0.05 per diluted share in the second quarter of last year. The decrease in GAAP net income attributable to NETSOL was primarily due to the decrease in total net revenues previously mentioned at a greater rate than the related decrease in total cost of revenues and operating expenses.  As I've mentioned on previous calls, it's important to point out that included in our net income this quarter was a gain of $14,000 on foreign currency exchange transactions compared to a gain of $61,000 in Q2 of last year. Because we operate in several geographical regions, a significant portion of our business is conducted in currencies other than the US dollar. A decrease in the value of the US dollar compared to foreign currency exchange rates generally has effected increasing our revenues, but it also increases our expenses denominated in currencies other than the US dollar.  Similarly as the US dollar gains strength relative to foreign currency exchange rates it tends to reduce our revenues, but it also reduces our expenses denominated in currencies other than the US dollar.  Moving to our non-GAAP metrics. Non-GAAP adjusted EBITDA for the second quarter of fiscal 2021 totaled $617,000 million -- I'm sorry $216,000 [ph] or $0.05 per diluted share compared with non-GAAP adjusted EBITDA of $1.6 million or $0.13 per diluted share in the second quarter of last year.  Please see the reconciliation schedules contained in our earnings release for our revised calculations of adjusted EBITDA for the fiscal second quarter ended December 31st, 2020.  Turning to our balance sheet. At quarter end, we had cash and cash equivalents of approximately $32 million or approximately $2.76 per diluted common share, which was up from $20.2 million or approximately $1.71 per diluted common share at June 30, 2020. One final note, before I hand the call over to Naeem. On July 30, 2020, NETSOL's Board of Directors approved a stock repurchase program that authorized potential repurchases of up to $2 million of its common stock over a six-month period. After the expiry of the original program, the company's Board of Directors approved an extension of the repurchase program through June 28, 2021. Under this program, the company may repurchase its common stock in the open market from time to time in amounts at prices and at such times as the company deems appropriate, subject to market conditions and federal and state laws governing such transactions. NETSOL expects to fund repurchases with its existing cash balance and cash generated from operations. Through December 31, 2020, the company repurchased 446,996 shares of its common stock at an aggregate value of $1,392,671, and has purchased an additional 92,440 shares at an aggregate value of $372,338 since quarter end. That concludes my prepared remarks. I'll now turn the call over to Naeem. Naeem?
Naeem Ghauri: Thank you, Roger. I'm really excited to be joining you all today for my first call as President. As Najeeb highlighted a few minutes ago, my new responsibility will be to oversee company operations, both domestically and internationally, including P&L for our subsidiaries as well as developing cohesive strategy to market our core business and new innovative solutions. I appreciate this vote of confidence from the NETSOL Board and leadership team, and I'm looking forward to the opportunity to increase my involvement in our global operations on all levels. In the same way, we saw an opportunity over 20 years ago to provide a leading technology solution for the nascent online auto finance market, I believe we now have a great opportunity to do the same for the new mobility economy. In addition to the innovative work we are continuing to do at Otoz, we continue to maintain some of the strongest industry relationships with international blue-chip organizations using our core business. Leveraging both of these competencies will be my main focus as we build NETSOL for its next phase of growth. One of my immediate targets is to continue to grow our subscription revenues, which are already emerging as our biggest growth segment. SaaS revenues, together with innovation initiatives, would be our most exciting story in the coming quarters. To be clear, the goal is to drive consistent top line growth, which should lead to increased profitability. As we look to expand our footholds in key regions outside of APAC, namely Europe, and North America, and also increasing the focus on cloud and subscription offerings in all our markets, we expect to accelerate the initial progress we've already seen. Early success in penetrating these geographies bodes well for our future growth initiatives. As we noted in our last call, we have begun reporting subscription and support or cloud revenues in lieu of the previously reported maintenance revenues. We made that change to represent the recurring nature of these revenues more accurately to outline the potential for our business to maintain a stable, growing stream of predictable revenues year-over-year, and because that's where we are focusing our efforts going forward. In fiscal Q2 as well as year-to-date, we have grown this segment at a double-digit rate. On an annualized basis, this equates to well over $22 million in annual recurring revenue for the fiscal year exclusive of the remaining ARR to be added following the completion of Go Live events and our other pending agreements. We look forward to further highlighting this intrinsic value of our business in new ways in the coming quarters. With that overview completed, I will now get into our operational updates for the quarter. Starting in APAC, with our previously announced 12-country, $110 million contract with the German auto manufacturing giant Daimler Financial Services we continued to make considerable progress along our multi-year, multi-country implementation road map. This quarter, we had a successful Go Live event in Thailand, which was accomplished in large part due to our flexible remote working architecture. To-date, we are now live in some fashion within 10 of the 12 countries and are making progress towards the remaining deliverables in accordance with our customer's timelines. In the near term, the most immediate Go Live event will be an additional -- will be for an additional module in New Zealand where we have already implemented our wholesale finance and dealer and auditor access solutions. We will continue to provide updates as we make further progress. As we made mention on our last call and we won't spend a ton of time on again, today during the quarter we announced the official launch of the NFS Ascent Retail Platform for the BMW Financial Services in China. This deployment is the second phase of our previously announced $30 million contract in which NETSOL was selected as the vendor of choice after an extensive evaluation process. I am very proud of NETSOL's development and implementation teams and our world-class center of excellence in the whole where we were forced to switch to a purely remote work environment in the middle of this project. Late last calendar year, we announced that we signed $9 million contract with a global Tier 1 auto captive in China to upgrade from our legacy NFS system to the next-generation NFS Ascent platform. The multi-year agreement includes licensing support and services revenues components, which will be recognized respectively over the life of the contract. The long time NETSOL customer provides automotive installment loans, credit loans, interest subsidies and other services and mainly conducts business domestically in China. Thanks to the flexible architecture we have built into our -- both our legacy and next-gen platforms, our teams will be able to migrate valuable data from the current system as well as integrate additional third-party data sources into the new platform with the highest ability and without issue. To further expedite this transition process, our deployment will be carried out in three phases over the coming months by our teams at home in Lahore and across the APAC region. Moving next to our European operations or NTE. Europe and North America are major areas of focus for us. And we have made mention of many times before and already on this call a big push in the European region as well as NTA has been our cloud-based offerings. Subscription-based pricing is being offered on a monthly, quarterly or annual basis and we believe this new more flexible pricing option will be a great way for us to expand our initial footprint. As our customers realize the benefits from subscription pricing, we continue to see further traction and demand for our products. In April of 2020, and as recently reported in the industry publication called Trade with the Flow, we signed a contract with Allica, a leading bank in the UK for a cloud implementation of our NFS Ascent retail platform, which included our point-of-sale and contract management systems. In other words, Allica has looked to develop a paperless digital portal that allows brokers 24/7 log-in access. They're looking to lend in excess of $100 million this year -- sorry £100 million this year and as one of the UK's newest banks moved at lightning speed to put the bank on a technological road map. With a mandate like this, NETSOL is an obvious partner. After months of collaborative work, we are proud to announce that we went live with the solution this quarter. This implementation in particular is monumental for us as it marks our first successful cloud-based deployment in the region. Finishing with our North American operations or NTA. After completing our first successful deployment of Ascent in North America last August for SCI Lease Corp, we are pleased to announce that we have signed an agreement with a renowned financial services company in the US to implement NETSOL's LeasePak Cloud offering. The contract is expected to generate approximately $1 million over its multiyear life. Though we're still at an early stage with respect to our North American expansion, these initial sales have shown us that the market for subscription-based services is real and growing. I'll take a moment now to provide a brief update on our progress within the Otoz Innovation Lab. As usual, things have remained quite busy. For those of you less familiar, in addition to my duties as President, I'm also the CEO of this initiative. Otoz is a NETSOL subsidiary and a digital platform that helps auto manufacturers', auto captives', fleet owners and start-ups to launch orchestrate and scale mobility businesses. The Otoz platform is built on a cutting-edge technology stack which comprises of cloud-native architecture and microservices, AI machine learning, blockchain, software development and IT operations and APIs. Otoz has positioned itself firmly in this quickly evolving space as a white label technology platform that enables mobility operators to deploy fast, out-of-the-box, fully cloud-native solutions without the need for heavy upfront licensing and customizing investments. It is sold purely as a SaaS product that facilitates companies of any size to be in business with rapid deployment and no upfront cost. As of today's call, we are nearing completion of a pilot launch to fully digitize a US Tier one automotive company. This project has allowed us to create an amazing digital auto buying experience through a state-of-the-art app. Overall this pilot is a door opener for Otoz to penetrate the rapidly growing digital mobility platform movement. Based on the sizable prospect pipeline, we have today we are well on track to continue to grow Otoz with Otoz's client list by at least another few Tier one mobility customers over the next 12 months. We are now entering into mature sales opportunities with a number of Tier one organizations that are evaluating the Otoz platform, which has been fully live with our first client and partner Drivemate in Thailand since June 2020. Obviously this is a very exciting time for the Otoz team and we're looking forward to making some more formal announcements on these initiatives soon. One final update before we turn it over to questions. In December of last year, we announced a partnership through WRLD3D to introduce NXT a COVID-aware smart workplace solution, to help support companies return to work safely. The NXT workplace is a flexible platform that interfaces with an organization's HR and building management as well as its IoT productivity and wellness systems to create a Digital Twin of its office space and provides real-time workplace intelligence. Through IoT datasets, such as indoor positioning and occupancy sensors, NXT helps employees to assign workspaces and book meetings in real-time, while socially distancing within the office. The technology couldn't be timelier and its early use at NETSOL's operation headquarters and at the leading financials and media company headquarter in New York has enabled us to provide – has enabled us to bring employees back to work efficiently. In summary, while the broader market cautiously begins to pick up in waves, we are continuing to execute against our near-term pipeline and current implementation schedule. We are being conservative in our cost structures managing the business as owners and will opportunistically look to deploy additional resources to high-value areas such as our Otoz Innovation Lab. We remain optimistic for the remainder of the year and even more bullish on the years ahead. And with that, we can open the call for questions. Operator?
Operator: I will now turn the call over to Najeeb Ghauri for his closing remarks. 
Najeeb Ghauri: Thank you for joining us today. I especially want to thank our investors for their continued support, our loyal customers, and our very dedicated employees worldwide for their ongoing contributions. We look forward to updating you in our next call. Thank you and goodbye. Operator?
Operator: Thank you for joining us on NETSOL's fiscal second quarter 2021 earnings conference. You may now disconnect your lines, and have a wonderful day.